Operator: Good afternoon. Thank you for joining today's call. With me today are George Colony, Forrester's Chairman of the Board and CEO, and Michael Morhardt, Forrester's Chief Sales Officer and Michael Doyle, Forrester's Chief Financial Officer. George will open the call. Michael Doyle will follow George to discuss our financials. Michael Morhardt will then follow Michael Doyle to discuss sales. We'll then open the call to Q&A. A replay of this call will be available until August 24, 2013 and can be accessed by dialing 1888-843-7419 or internationally 1630-652-3042. Please reference the pass code 9233923#. Before we begin, I'd like to remind you that this call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Words such as expect, believe, anticipate, intend, plans, estimates, or similar expressions are intended to identify these forward-looking statements. These statements are based on the company's current plans and expectations and involve risks and uncertainties that could cause future activities and results of the operations to be materially different from those set forth in the forward-looking statements. Some of the important factors that could cause actual results to differ are discussed in our reports and filings within the Securities and Exchange Commission. The company undertakes no obligations to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. I'll now turn the call over to George Colony.
George Colony: Good afternoon and thanks for joining Forrester's Q2 conference call. I will spend a few moments reviewing the quarter after which, Mike Doyle, our CFO will give a full financial update. Mike Morhardt, Forrester's Chief Sales Officer will say a few words about sales and he will then join Mike and me for questions and answers. While the company exceeded its operating margin and EPS guidance for the quarter, the work of streamlining and strengthening our business continues. Results of this effort will not be quick and they will not be without periodic setbacks. Q2 proved us to be true as bookings were on target through much of the quarter and then weakening towards its conclusion. Mike Morhardt's efforts to transform the sales force continue but much more remains to be done. His efforts are work in progress. There were bright spots in Q2, including Asia Pacific and North American new business. In addition, a head of European sales is now onboard and important step in uniting and motivating the EMEA region. I am pleased to announce a new addition to the executive team. Lucia Quinn has joined us as our new Chief People Officer. With 30 years of business experience, Lucia has led high performing, global HR teams, most recently at Boston Scientific and at ConvaTec. At both companies, she was the member of the executive committee reporting directly to the CEO. Forrester, as you know, is a people intensive business that requires a high level of hiring, development and organizational vision. Lucia has the right portfolio of strategy and people management to guide the company through its current transition toward a period of higher revenue and headcount growth. The positive impact is already evident within the company. Like the kind of changes we are making in our consulting business, as you know consulting constitutes approximately 25% of Forrester's revenue. We sell two consulting products advisory consulting, this is a one or two days the typically a company RoleView contract, and project consulting, engagements that can last weeks or longer. Today, both types of consulting are delivered by the analyst staff. If our project consulting business has grown, it has absorbed your larger percentage of analyst time. As you look to expand this business over the next three years, it has become clear that the company must build a dedicated staff that will exclusively deliver project consulting. We believe at this will, number one, focus our analyst staff on a creation of syndicated research improving those products. Two, improve the quality of project consulting. Three, increase profitability in our consulting business and four, making easier to skill our project consulting business to match demand. In our new model, project consultants will carry subject matter expertise aligned to Forrester's role research teams. All projects will continue to be research based, building up the ideas, analysis and data featured in RoleView. This strategic shift was planned in 2012 and the transition has been ongoing since January 1, 2013. Our plan is to have 21 consultants on board this year, we have hired 17 to-date. This change will take place over a 24-month period concluding at the end of 2014. Well project consulting will be performed by the new PC group; analysts will continue to perform advisory consulting. This transition is one example of how the company is driving better alignment between lines of business and sales and I'll keep investors updated as the transition progresses. On last quarter's call, I outlined four market imperatives that are shaping what Forrester calls the age of the customer. This is a year where empowered customers are engaging with businesses on their own terms. In this age, corporations must feel brilliant customer experience. Forcibly, this is the path to competitive advantage. Perversely, 90% of companies acknowledged that customer experience is the top strategic priority, while our research and data show that only 3% of companies actually deliver excellent customer experience. In June, we hosted a largest event in Forrester's history, the forum for customer experience professionals which we held in New York City. Through key notes, speeches and track sessions attendees learned how to move their customer experience programs to the next level, whether they were starting from scratch or in the midst of a transformation. Speakers included the director of customer experience for Audi in North America, the chief marketing customer experience officer of Walgreens and the global head of luxury and lifestyle brands at Hilton worldwide. In the age of the customer, Forrester's opportunity is widening. I was with the CEO of a multinational CPG firm in Paris several weeks ago, he would tell me his biggest challenge is keeping up with digital and increasingly demanding customers. And he was having a very difficult time aligning with marketing and technology functions of his business. In his case an old line IT Synergy [I/O] was holding back change. And these problems are not uncommon and they are directly [enforces] that strikes out. Of the demonstrate postures distinct and differentiated position of the market having marketing and business technology executives work together to win in the age of the customer. I want to give you an update on our Dutch auction which we held during the second quarter. Forrester purchased 2.1 million shares at a cost of $75 million. Since the auction terminated, the company has purchased approximately 500,000 shares in the open market at a cost of $19 million. We have reduced our shares outstanding to 20.2 million shares. Forrester currently holds $188 million of cash investments on its balance sheet. In the absence of any other demand on our capital such as an acquisition, we expect to continue to buy in the open market as we move toward the target goal of carrying approximately $50 million to $100 million of cash. In conclusion, the age of the customer represent an extraordinary opportunity for Forrester, but taking full advantage will require the company to stay dedicated at the task at hand, improving our leadership, sales and our products, streamlining and strengthening our business. We have much more to do and as I noted at the beginning in my remarks, the pass code will not be linear or totally predictable. Thank you very much for your time today. I will now to turn the call over to CFO Mike Doyle, who will give the financial update for Q2, Mike.
Michael Doyle: Thanks, George. I will now begin my review of financial performance. Forrester's second quarter results, the balance sheet at June 30, our second quarter metrics and the outlook for third quarter and full year of 2013. We know that the income statements numbers I am reporting are pro forma and exclude the following items, amortization of intangibles, stock-based compensation expense, reorganization costs, and net gains and losses from investments. Also for 2013, we will utilize an effective tax rate of 39% for pro forma purposes. The actual effective tax rate for the second quarter of 2013 was approximately 39%. In the second quarter, Forrester met its revenue and exceeded its pro forma operating margin and EPS guidance, driven by continued strength in our M&S business and tight cost controls. In addition, we completed the successful Dutch auction during the second quarter, realizing approximately $75 million to purchase approximately 2.1 million of Forrester shares. We had a number of positive developments during the quarter. As George mentioned, our bookings activity started strong during the quarter but softened towards the end of the quarter. You see this evidence are both AV and deferred revenue plus future AR down approximately 5% versus prior year. My experience with meaningful changes in an organization is that they rarely follow a perfect upward trajectory. As you make process and organization changes, the realignment effort can result in periodic disruption. The changes we are making in our sales and consulting organizations will result in a more productive and dynamic sales engine for Forrester and I'm encouraged by the progress we've made. Now let me turn to more detailed revenue of our second quarter results. Forrester's second quarter revenue decreased 1% to $78.2 million from $79.1 million in the second quarter of 2012. Second quarter research services revenue decreased 1% to $50.5 million from $51.1 million last year and represented 65% of total revenue for the quarter. The decline was driven by a shift in our data business, which had seen an increase in one-time revenue and a decrease in syndicated revenue. Excluding data, research services revenue is flat to prior year. Second quarter advisory services and other revenue decreased 1% to $27.7 million from $28 million in the second quarter of 2012 and represented 35% of total revenue for the quarter. The variance to prior year was mainly result of growth in our M&S consulting business, offset by slowdown in our BT consulting business. International revenue mix was 25% for the period ending June 30, 2013, which is down 27% in 2012 due mainly to ongoing sales challenges in Europe. Now I would like to take you through the activity behind our revenues starting with research. We continue to make progress with developing playbooks with a net of seven rolled out in the second quarter bringing the total to 58. We plan to continue expanding the number of playbooks available to our clients with a target of surpassing 80 by the end of 2013. In the second quarter, 244 new research documents were added to RoleView and we hosted 51 webinars with a total attendance of 1,652. At the end of the quarter, the top three research roles were application development and delivery with 6,882 members, market insights with 4,625 members and enterprise architecture with 4,399 members. Forrester Leadership Boards are peer offering for senior executives experienced a year-over-year revenue decline of 2% in the second quarter. As of June 30, 2013, Forrester Leadership Boards had a total of 1,886 members, down 4% from June 30, 2012. Our data business continues to be a critical part of our value proposition. Our continually refreshed data now covers more than 80% of global GDP and technology spending. This gives our B2C and B2B clients current and actionable insights on 1400 brands and 300 attributes. It also gives our analysts the most accurate and timely facts they need to drive their research forward. On a year-over-year basis, revenue increased by 1% for the second quarter. Our consulting business declined by 3% versus prior year in the second quarter driven by softness in BT consulting with partially offset by continued strength in M&S. The second quarter continues to be the busiest time for our events business. We hosted 13 events across four locations in the U.S. and Europe. These included our largest and fastest growing event, the Forum for Customer Experience Professionals held in New York, which experienced a 20% attendance increase this year. Our Forum for Marketing Leaders in Los Angeles and our CIO forums held in Washington D.C. and London rounded out our events calendar. We've implemented many chains to our event business already in 2013 with the intent to significantly enhance the client experience. We will continue to focus on better and bigger events with a total of 23 role based forums now scheduled for 2013. I will now highlight the expense and income portions of the income statement. Operating expenses for the second quarter were $67.4 million, up 2% from $65.8 million to the prior year due mainly to increased compensation from higher headcount and payouts return to planned levels in comparison to the second quarter of 2012. Overall headcount increased 2% as of June 30, 2013 compared to the same period last year. At the end of the second quarter, we had a total staff of 1,235 including a research staff of 442 and a sales staff of 469. Research headcount was flat versus prior year and also as compared to March 31, 2013. Sales headcount increased 7% versus prior year and was up 2% from March 31, 2013 as we continue to build out sales team. Adding to this positive trend, sales attrition has come down from peak levels in 2012, even as we become more diligent about managing performance. Operating income was $10.7 million or 13.7% of revenue compared to $13.3 million or 16.8% of revenue in the second quarter of 2012. Other income for the quarter was approximately $300,000 which was up from a $100,000 in the second quarter of 2012. Net income for the second quarter was $6.7 million and earnings per share was $0.31 on diluted weighted average shares outstanding of 21.7 million compared with net income of $8.2 million and earnings per share of $0.36 on 23 million diluted weighted average shares outstanding in the second quarter of last year. I'll now review Forrester's second quarter metrics to provide more perspective on the operating results for the quarter. Agreement value; this represents the total value of all contracts for research and advisory services in place without regard to the amount of revenue that has already been recognized. As of June 30, 2013 agreement value was $211 million, a decrease of 5% from the second quarter of 2012. As of June 30, 2013 our total for client companies was 2,451, up 9 from the first quarter but down 4% compared to the second quarter of 2012. Client count unlike our retention and enrichment metrics is a point in time metric at the end of each quarter. Forrester's retention rate for client companies was 76% as of June 30, 2013 which is a decrease of 1% one point from the March 31, 2013 and our dollar retention rate during the same time period was 89%, also down 1 percentage points from the prior quarter. Our enrichment rate was 95% for the period ended June 30, 2013 unchanged from the first quarter. We calculate client and dollar retention rates and enrichment rates on a rolling 12 month basis due to the fluctuations which can occur between quarters with deals that close early or slip into the next quarter. The rolling 12 months methodology catches the proper trend information. As of June 30, 2013 there were 2.2 roles per client, a decline of 16% from first quarter, driven by the role consolidation that George previously announced in first quarter call, this which reduced our total role serve from 17 to 13. Now I would like to review the balance sheet. Our total cash and marketable securities at June 30 was the $187.6 million, down $55.1 million or 23% from our year end 2012 balances, which reflects healthy operating cash flows offset by a significant repurchase of our shares totaling $92.1 million for the first six months of 2013. For the quarter we generated $1.8 million in cash from operations which is down from $4.5 million in the prior year. We received $9.1 million in cash from options exercise and our employee stock purchase plans for the second quarter of 2013. We also paid a dividend in the second quarter which amounted to $3.1 million or $0.15 per share. Accounts receivables at June 30, 2013 was $39.8 million compared to $47.5 million as of June 30, 2012. Our day sales outstanding at June 30, 2013 was 47 days down from 55 days at June 30, 2012 and accounts receivables over 90 days was 5% at June 30, 2013 which is flat compared to the same period of prior year. Capital spending for the second quarter of 2013 was approximately $300,000 compared to approximately $800,000 during the second quarter of 2012. Deferred revenue at June 30, 2013 was $136.8 million up 2% over June 30, 2012. Deferred revenue plus future AR a key indicator of future performance declined 5% year-over-year. Our future AR balances or amounts to be invoiced in the future for clients with multi-year deals or scheduled payment terms. Let me talk about capital structure. As I mentioned earlier we completed our modified Dutch auction tender during the quarter. We successfully repurchased approximately 2.1 million shares at a price of $36 per share. In addition, post the Dutch auction, we repurchase approximately 500,000 additional shares at an average price of $36.20. We will continue to be opportunistic with share repurchases going forward and remain committed to achieving our targeted cash level of between $50 million to $100 million by yearend. Given our current cash levels, more likely will we closer to the $100 million level. In addition, we've said before, we will consider short-term borrowing when necessary to support ongoing investment in our business and allow for acquisition opportunities. We remain committed to enhancing our shareholder value. As I mentioned in my opening remarks, while we met or exceeded our guidance on revenue and EPS for the quarter, we're gaining traction at a slower than anticipated rate on the changes we've made to our organization. We have projected our bookings growth for 2013 to be in the range of 8% to 10%. However, given the slower start to the first half, we're now projecting bookings growth in the low single-digit range for 2013. While trends in agreement value and deferred revenue indicate that we still have work to do to return to growth, confidence in our sales leadership and our product differentiation strategy remain high and we firmly believe that we're on the right track. Further, cash flows in the balance sheet remained healthy and we succeeded in returning value to shareholders through our Dutch auction. Now, I'd like to review our guidance for 2013. As a reminder, our guidance excludes the following: Amortization of intangible assets, which we expect to be approximately $600,000 for the third quarter and approximately $2.3 million for full-year 2013. We expect stock-based compensation expense between $1.6 million to $1.8 million for the third quarter and approximately $5.7 million to $6.2 million for the full year 2013. We expect reorganization cost of $1.9 million for the full year 2013. And our guidance excludes investments gains and losses. For the third quarter 2013, we're aiming to achieve total revenues of approximately $67 million to $70 million pro forma operating margin 6.5% to 8.5% a pro forma income tax rate of 39% and pro forma diluted earnings per share of approximately $0.13 to $0.17. For the full year our guidance remains unchanged and we're targeting total revenues of approximately $290 million to $298 million. Pro forma operating margins of 9.5% to 10.5% other income of approximately $800,000, a pro forma income tax rate of 39% and pro forma diluted earnings per share of between $0.79 and $0.86. We provided guidance on a GAAP basis for the third quarter and full year 2013 in our press release and 8-K filed today. Thanks very much and I'm now going to turn the call over to Mike Morhardt, Forrester's Chief Sales Officer.
Michael Morhardt: Thanks, Mike. As George mentioned, we continue to improve the sales organization, methodically building a more mature performance driven culture marked by a greater accountability and discipline, but more work needs to be done. After five months of solid progress a misstep like we saw in the final month of Q2 was disappointing, but it's not unexpected. The mix had more to do with a lack of execution versus any market condition. We know exactly where the problem areas are and we're addressing them with both short term and long term fixes. From the start, our sales strategy is centered around three key areas of focus, one geographic sales expansion putting sales people where our clients are located to develop stronger relationships; two, operational discipline bringing more analytics and data into our decision making and driving consistent execution; and three improving overall sales force productivity through a more robust training engagement and management. We continue to drive each one of these initiatives, make no mistake, we're seeing progress. For example discounting has dropped 3.9% year-to-date and 5.2% in Q2 quarter-over-quarter and year over year. Our geographic sales expansion continued and as we added local coverage in seven new cities. After six months we have hired two key leaders into the sales organization. In June our head of European sales Alex Harp join the team, also in June our Head of Sales Analytics John (inaudible) came on board, both will be instrumental in driving stronger performance. We also launched a revamped new higher training program and there is more training for existing reps in Q2. In Q3, we are launching more training for our [tenure graph] and also a sales management training program. Our evolution is well underway, but in some cases, we are developing new skills as an organization. From recruiting in new geographic markets to embracing a more professional client engagement model, these processes require new organizational muscle memory. If you workout you know that building muscle means putting in the hard work day by day, week by week, month by month. We're on the right trajectory and we know what we need to do. We also realized that we cannot do this alone. So we are keenly focused on driving alignment across our research and consulting organization. This alignment is a key focus for Forrester as a whole and remains very bullish about the market opportunity in the strength of the Forrester brand. After eight months in this roll, I am more convinced than ever and we're in a position for growth. Thanks very much and I am going to ask George and Mike to join me for the Q&A portion of the call. I will now turn the call back over to the operator.
Operator: (Operator Instructions) And we have Tim McHugh from William Blair on line with a question. Please go ahead.
Tim McHugh - William Blair: Yeah, thanks. First I guess just to drill onto the comments about the sales activity late in the quarter, I think Mike you made the comment, you know where the problem areas are, can you elaborate the little more, I guess specifically in terms of what were the problem areas, is it concentrated by geographic area or experience versus new sales people any more color there will be helpful?
Mike Doyle: Sure, Tim. If I were to characterize, what we saw in June in particular and one particular area we saw consulting demand actually outpace our ability to deliver on that demand and our inventory of analysts and new consultants to be able to actually deliver on some of the consulting opportunities we had in Q2. So those were pushed out and some cases we weren't able to deliver on, I am bringing net bookings in. We did push some business both renewals and enrichment into Q3, and then I would say overall we saw both on the new business and the enrichment side some of the pipelines weren't mature enough for us to harvest those in June. So there wasn't necessarily a major geographic change in performance. We saw some great performance in Asia-Pac. We continue to see under performance in Europe but that wasn't the major contributing factor and then in North America it's pretty consistent across the board. From a tenure perspective, I would say it was pretty consistent based on the demographics of our sales organization. We saw the more productive reps, you know, we are more tenured which there wasn't anything out of line on that level.
Tim McHugh - William Blair: Okay and I assume when you say you pushed out in a term that was the client driving that activity not choices by your sales people?
Michael Morhardt: On the enrichment I would say the renewal pieces that was the client driving it out and some of the consulting issues were more than we had demand in specific areas of consulting where we weren't able to deliver consulting proposals or be able to execute on those consulting opportunities because we didn't necessarily have the inventory of analysts or consultants to deliver it.
Tim McHugh - William Blair: And then on the new delivery model, I guess partial new delivery model for the consulting in terms of the project activity, how widely are you looking to staff up that consulting base. Are you looking to cover the gamut of your research or are you approaching this in a more so from the marketing side versus the BT side?
George Colony: So George is here, the initial move in the first eight months is going to be into two, into four roles, two roles on the M&S side, two roles on the BT side. By the end, and we will then move role-by-role following the first eight months. By the end of next year, we will have consultants in every well I think of 12 or the 13 roles we will have full consultant staffs. We're choosing the roles with the highest demand to staff first.
Tim McHugh - William Blair: Okay, and how many, do you have a sense for, if you were to build this fully out, how many consultants would you be adding as part of this?
George Colony: It will be 65 and 80 in that range. We're currently 17, the goal for the year is 21.
Operator: And we have Vincent Colicchio from Noble Financial in line with the question. Please go ahead.
Vincent Colicchio - Noble Financial: George or Mike, I think you said, Mike, that Europe was down, the international was down 25%. Why was Europe, as weak as it was, is there any other color you can provide?
Michael Doyle: And I apologize, I'll clarify Vince. Europe, in general, international, as a percentage of our revenue mix, declined from being 27% of our mix to 25% in the quarter, this quarter versus year ago. So it wasn't a 25% decline. You know, our softness is though, our softness is in Europe. To Mike's point, I don't think it's out of line necessarily what we've been experiencing but it certainly is the reason for our decline in Europe, percentage of revenue coming outside the U.S.. Asia Pac is performing well for us to Mike's point. So I think that what's going to happen, is as [Alex Harp] is onboard, our new Head of Sales for Europe and gets settled in. You know, more through it, I mean clearly our intent is to get the energy and growth back in our European business and I think the market is there. I think we have opportunity and but it's I think still a work in progress very much in Europe.
George Colony: So Vince, George here, on Europe, the sort of two downs and one up on Europe, I've been there a lot in last quarter. The down is that Europe continues to tighten belts, every company that I visit with. But it's a very tight, they are trying to get, Europe is trying to write itself by being very tight on this money which I think is a mistake, so we see that on the company's money is very tight and budgets are very tight, that's a down. An up in Europe is that all the digital channels that I talked about age of the customer are right in the faces of those companies. So, there are just as much impetuous for them to move to a digital in Europe as we see in the US, so that's a good one for us. And now the downside, Mike can probably talk about in some more detail. We just have to have leadership in European sales for the last two years.
Michael Morhardt: So, Vince, yes, as we mentioned Alex just joined us in fact he just left for Europe last night. We are going to be evaluating over the next couple of months our best approach along with the other sales leaders and research and consulting leaders in Europe, the best approach we are targeting Europe. There has been some good news in Europe. We've seen retention rate is actually growing in Europe with our clients. So that's a good sign, but we have a lot of work to do.
Vincent Colicchio - Noble Financial: And why was the leadership, the Forrester leadership board business week, any color there would be helpful as well?
Michael Doyle: Sure and Vince, its Mike. Basically we've got a spilt going on that we saw in the quarter which is our M&S board business is very healthy and growing and our traditional BT business is off for the quarter and it's work in progress. I think we're putting a lot of energy, it's a project that George is putting some time in energy against now to trying to get that right, and so we're seeing great activity in the M&S boards and then BT is lagging a bit and we've got to get that revived. General comment then to about BT now is that we have to show more differentiation in that space. We have a very smart and a very powerful competitor in that space. We have to show more differentiation. So I would watch this space of course over the next couple of quarters.
Vincent Colicchio - Noble Financial: And as you, there are couple of fee on playbooks, number one what kind of feedback are you getting? Also if you can remind us when the development will be complete? And I was curious if the changing of analyst activities will have any impact on the timing of rollout?
George Colony: The timing of rollout is not changed. We will be fully complete by the end of this year since. So, we'll be at 75% by the end of the year, we're currently at 50% or you get the number.
Vincent Colicchio - Noble Financial: Yeah, I did, it's 57, 58
George Colony: So, we're on target then to meet the full cover on playbooks by the end of this year. Feedback has been excellent around playbooks. Customers give measurable goals [TXI] which is how we measure customer satisfaction had shown very good uptick of playbooks. It is a good differentiation from our competition. It is as I talked about before on these calls, it's all it's kind of the big pile of research problem, where our client would search on cloud and we get back a 1,000 hits. Now we have a very well built playbooks which could take to the client through all aspects of the lifecycle of implementing cloud and so very good feedback here. Are there any other comments in the room, but this is actually the right thing you have with our content.
Operator: (Operator Instructions) And we have Bill Sutherland EGN.
Bill Sutherland - EGN: Thank you. The sales headcount do you have the number of quota carrying reps of the end of the quarter there?
George Colony: I knew you do that to me Bill.
Bill Sutherland - EGN: I assume it represents most of the increase in sales staff.
George Colony: Yeah, and I think that is correct. I mean that has been our focus this year, our quarter carrying reps inclusive of events for the end of the quarter.
Bill Sutherland - EGN: And while you are doing that, in general Mike, are you thinking of getting to close to that 10% target in terms of rep expansion for the year?
Mike Morhardt: Yeah, Bill, it's Mike Morhardt, yes, we are. The first half of the year, if you are looking at sales headcount specifically quota carrying headcount, we saw a couple of things take place. We saw voluntary attrition actually drop which was the good news and we needed that to drop. We saw performance management actually increase. I think that was more reflection as we ramp up our recruiting efforts and our sales expansion efforts, and managers were doing a lot more interviews and provided the greater level of courage to have conversations with some of our loyal performing reps. So there was probably a little bit of shift in the traditional amount of performance management we did in Q2. That being said, we have ramped up our sales expansion efforts considerably, I mentioned an individual who is in-charge of our sales and analytics team, he is in the process of building out territories. We are targeting that 10%, but we want to do it softly and we want to make sure that we are not breaking client relationship as we do that.
George Colony: Bill, just now that I have had the chance to shuffle through my papers. The quota carrying reps are 280 in core plus 13 event reps here, 293 on the quarter and to give you the delta the event sales reps are up one and our quota carrying that sits you know sort of directly in Mike's world went from 274 to 280, okay.
Bill Sutherland - EGN: Okay. How many total events reps do you have just so I have the math right.
George Colony: 30 event sales rep, 280 quota carrying reps that are nonevent but fit in.
Bill Sutherland - EGN: (inaudible) you mentioned you added seven new cities, so how many markets are you covering now in the I guess that's just North America?
George Colony: It's primarily North America. There were some addition in Asia Pac and Europe, but this was as we look at the transition of the sales organization where we were incredibly Cambridge focused where we've seen expansion on the West Coast, both in LA and Seattle, in the Midwest, in the southeast. We are looking at just try to move reps closer to our clients and develop those strong relationships and not only that but also have an effect on cost of sales.
Bill Sutherland - EGN: So you don't really have a target, I mean, it's just kind of work according to whatever the sort of client mix is and how productive you guys are feeling the business is at that point?
George Colony: We do, we are targeting 10% as far as the growth and where we are standing is based on the math of number of amount of data that we are leveraging to find out the best territories possible. So what does the ideal territory look like relative to the amount of AV amount of contracts that they cover and amount of growth associated with it. So we are prioritizing those and hiring those particular markets, but if somebody were to leave within the organization we try to leverage that movement within the sales organization to add another territory where we think it's going to drive the most growth.
Bill Sutherland - EGN: And just so I understand this execution as you referred to that where June didn't come in where you wanted, that was mainly in consulting, right, because it sounds like the renewal enrichment delays were that was a client pushing push out. Is that the way to think about it?
Michael Morhardt: Yeah. It would mainly in consulting but make no mistake. We're keenly focused on our renewal rates and when clients push business, we want to understand that. Trying to get under the covers, the consulting fees, again, those deals, some of them were, there was a great demand for in particular areas, specifically on the M&S side and we weren't able to necessarily deliver on that demand, which we're trying to rectify right now. The second piece, yes, as clients move some of their business out, some of that will recover in July and August but we're introduced a client engagement model where we're trying to get much more predictable about our retention.
Bill Sutherland - EGN: So, I guess I'm just trying to connect the dots, it feels to me like even though little bit air pocket in the booking department. It really wasn't in, A, it wasn't in syndicated research so much, and B, I feel like you're going to have the organization in place to a large degree to be ready for the big selling season. I am kind of curious why you pulled back the bookings target to low single-digit?
Mike Doyle: From my end bill, this is Mike Doyle, there have been whole Mike thing. I think the mix piece in the first half, as I look overall, I am just looking at, it's been okay, so we're behind thin first half looking overall, I am just looking at and say okay, so we are behind in the first half where we wanted to be. And I think I am sort of anxious to see okay, so how quickly can we ramp can we fill some of these boys on the analyst side that would enable Mike to deliver on some of that. So I think I am trying to be cautious, I do not want to get ahead of ourselves as we sort of work our way to this whole transition. And again I think we're doing all the right things, I think we're making the right kinds of progress, but I'm trying to keep from getting too far ahead of ourselves in terms of how we're thinking about the business. I mean, if everything goes right and we are well lined up by the time we hit the fourth quarter, yeah maybe that changes a bit, but I can't change what happened in the first half.
Bill Sutherland - EGN: Right, thanks
Mike Doyle: For year-over-year it's difficult to change what happened in the first half.
Bill Sutherland - EGN: Sure. And George if the demand for consulting, as you build up a project group, sort of grows accordingly does that is there a revenue mix change that potentially occurs as far as syndicated versus advisory?
George Colony: Yet not anticipated we want to project consulting should grow at the rates commensurate with research. So we are still are targeted till 70% syndicated, 30% non-syndicated Bill. But and I think make sure everyone understands it from the call that one of the reasons we're building the project consulting group, it's to give us more flexibility and Mike talked about that could so much demand for lot of the M&S consulting in the end of the quarter, we could meet. Given the project consulting structure, we have more flexibility to move people to where the heat and light is. But that all being said, we do not anticipate in change in the mix.
Mike Morhardt: And I think the other benefit we get from it is as we begin freeing up analyst time Bill, Mike talked about enrichment, which I think on our calls we've said we having been satisfied with where that's headed and the analyst were I think the analysts were an active part of helping us in that selling process. So it actually will help steer you more towards indicated, you going to be freed up and have more time to do that. So I agree with George, I don't think we're going to back off of our target which is the 70 30 split, I think we hope to do is to be able to accelerate our growth at the result of this and get back to what we deem to be a more normal growth patterns.
George Colony: And just to reiterate here just a very simply stated, we're doing this to improve the quality of consulting and to improve the quality of our syndicated products frame. Certainly we can get both with by taking this new structure.
Bill Sutherland - EGN: Make sense, okay. Thanks guys.
George Colony: Thanks Bill.
Bill Sutherland - EGN: Thanks Bill.
Operator: And we have no further questions. I'll now turn the call over to Mike Doyle for closing remarks.
Mike Doyle: Okay. Thanks very much everybody for joining the call, we certainly appreciate it. We look forward to see you as we get out on the road over the course of the quarter and share kind of our progress against the story. So thank you and have a great day.
Operator: Thank you ladies and gentlemen, this concludes today's conference. Thank you for participating and you may now disconnect.